Operator: Good morning, ladies and gentlemen and welcome to the Swisscom Half Year Results 2015 presented by Urs Schaeppi, Mario Rossi and Louis Schmid. Louis, the floor is yours.
Louis Schmid: Thank you. Good morning, ladies and gentlemen also from my side. My name is Louis Schmid, Head of Investor Relations. And with me are our CEO, Urs Schaeppi and Mario Rossi, our Chief Financial Officer. The first part of today’s presentation will be hosted by our CEO who runs you through three chapters, the first one analyzing the underlying results, which are positive; the second chapter addressing the unchanged Swiss dynamics in the mobile, fixed and business markets; and last but not the least, some words about process, delivering promising results. At the second part of the presentation, you will get an update on the financials, which will be presented by Mario. With that, I would like to hand over to Urs to start his presentation. Urs?
Urs Schaeppi: Good morning, ladies and gentlemen. I am happy to give you some information about our first half year. It’s a solid good half year and if you make like-to-like comparison on the net revenue, but also on the EBITDA, you can see that we have a slightly increase of our results despite the strong competition and price decreases. If we go to Slide 3, you can see our report, the financial figures. Net revenue in Q2 is in line with Q1, approximately in line with Q1. And in the first half year, we were able to increase our revenue by CHF58 million comparing to previous years. EBITDA, actually you see that we have a decline of CHF49 million year-on-year and an absolute EBITDA of CHF2.13 billion. If you go on Slide 4, then you see actually the comparison of the figures EBITDA and net revenue without exception. And you can see that on a like-to-like comparison, we were able to increase our revenue, our net revenue by CHF105 million year-on-year. Exceptions are mainly M&A topics and exchange rates. The EBITDA increased on the like-to-like basis by CHF40 million year-on-year. So, it shows that we have operationally a good first half year with slight growth. On Page 5, you can see the revenue dynamics. The revenue breakdown on the chart above, you see this CHF105 million increase like-for-like comparison and you see that we have a strong growth in the bundling area. So, the trends which we had the last quarter is also in this quarter the same. So, stable trends of strong growth on bundles, CHF168 million increases. But you can also see that the dynamic is slightly lower than in the first quarter. You can also see a strong growth of Fastweb, CHF68 million increase and on the other side, which is our strategy, you can see that 1Play revenues are declining by CHF125 million. If you go to the revenue split, metered/non-metered, so the chart below, you see that 1Play metered revenues are going down by CHF126 million year-on-year and non-metered revenues, which is our strategy to increase the non-metered revenue percentages are going up with CHF163 million year-on-year. On Page 6, you see the 1Play metered revenue distribution. On the first half year, we were able – the 1Play metered revenues went down by CHF126 million and the main dynamic is coming out of wireless business where we have a decrease of CHF89 million year-on-year and wireline decrease of CHF37 million year-on-year. So usage based revenues are declining and this is also the result of our bundling strategy and infinity strategy. Page 7 shows you the non-metered dynamic – non-metered revenue dynamic. 1Play non-metered wireless revenues went up by CHF83 million, mainly driven by infinity. 1Play non-metered revenues wireline are decreasing and the bundle revenues are going up strong growth of CHF168 million, so overall also a constant development in the direction of non-metered and increasing bundling revenues. Page 8 shows you the dynamics in the wireless business. The subscriber evolution in the wireless business is a good one. We have a total customer base wireless of 6.6 million and important is that 4.45 million are postpaid customers with the high ARPU. And from these postpaid customers, the percentages of postpaid customers are slightly going up and 68% of our customer base is postpaid. If you look to the wireless net adds development, you see also that we have a solid growth with the wireless net adds development. For example, in the first half year 2014, we had plus 64,000 net adds and in the first half year 2015, approximately the same 63,000 net adds. So a good development on the subscriber side in the wireless business. On Page 9 you see the subscriber mix in the wireless postpaid business and you see also that our multi-brand strategy is a successful one. We were also able – still able to increase the share, the market share of infinity. And in the mass market business, we have a market share of infinity of 67% over the whole customer base of postpaid we have infinity share of 90 – of 49%, so good development with our infinity product. On the slide below you see also the development of our infinity plus. So that’s the infinity product where we bundled in the roaming in the EU. We have a customer base of 370,000 in the mid of this year. At the end of July, we had a customer base on infinity plus above 500,000 and it’s interesting that we have a slightly upgrade from customers, which are moving to infinity plus, so good, good development on infinity plus. On Slide 10 some information about the wireline dynamic, the fixed voice business in Q2, the losses on voice telephony, fixed voice telephony is slightly accelerating. In the first half year, we have a loss of voice connection of about 81,000 and the total customer base, which we have on voice, fixed voice, is 2.7 million. If you look to the broadband subscriber development, you see that we were able to increase our net adds in Q2. We have 14,000 net adds, still a good momentum, strong momentum on Vivo, our bundled product where we were able to have net adds of 49,000 subscribers. Overall – and this is also an interesting figure, the overall share of broadband products in bundles is 68% and this shows also our successful bundling strategy if we have the product in a bundle, we have lower churn. Page 11 gives you some information of the TV subscribers you see strong growth on TV, net adds plus 37,000 net adds, total customer base on TV, 1.24 million, and 58% of our TV products are in bundles, so good and successful TV business. And interesting is also to see that in the whole wireline markets, we were able to increase our revenue generating units. I think that’s quite remarkable in a business where we have a declining voice business that we were able to overcompensate it with TV and broadband. Slide 12 gives you some information – more information on these revenue-generating units in the fixed line bundling business. And you see that the overall increase of revenue generating units in Q2 is 134,000. So, it underlines once more the successful marketing of our bundles. Some information on Page 13 on the fiber evolution. So, you can see that we were able to increase our fiber footprint in Q2. At the end of Q2, we had 1.6 million households with fiber connection. From this 1.6 million, 1 million is fiber to the home and 600,000 is fiber to the street. And overall, the overall ultra-broadband footprint, which we had at the middle of this year, is 2.5 million, which has a ultra-broadband connection that means at a broad speed, speed on the Internet access above 50 megabits per second. Interesting is also that we are able to increase the demand in areas where we have an ultra-broadband footprint. The chart below show it in the areas where we have fiber to the street footprint, we are able to increase the penetration and market shares in the broadband business. Page 14 gives you some information about our enterprise or our corporate business. The message – the main message on this chart is we are strong positioned in this corporate market. We were able to enlarge our product portfolio to have a much more differentiated product portfolio. We are well positioned in the cloud business and we are also well positioned in the digital readiness. The order intake in the first half years in our enterprise business was strong. It’s 20% above previous year and the win ratios are good. What we see in the corporate business is mainly in the wireline business price competition, but it’s very local, it’s very customer specific, not on the broad customer base, but Sunrise is trying to get some deals with aggressive pricing. Let’s have some work to Fastweb on Slide 15 you see the performance of Fastweb, strong performance in Q2 in all segments. In all segments, we were able to drive growth. The revenue increased by 5.6% year-on-year or CHF23 million. Page 16 gives you some information on the free cash flow proxy and EBITDA development. So good development of the EBITDA, an increase of CHF24 million year-on-year, EBITDA increased and the free cash flow on Q2 was positive – free cash flow proxy. If we go to Slide 17, then you will see the development of our net adds in the Italian market. So good net adds development in the first half year plus 85,000 net adds in the broadband business and if you take the development of our net adds or the increase of our net adds from 2013 to 2015 half year, you see that we were able to increase our customer base by 390,000 net adds and so we were also the leader in this period on the net adds side. We were able to decrease our churn figures despite the strong competition and competitive pressure in the Italian market. Slide 18 gives you some information of our development in the ultra broadband rollout. So the rollout in July, in July we had the coverage of 5.8 million households, which are under ultra broadband coverage. That means 65 cities in Italy are covered by ultra broadband fiber to the street or fiber to the home and our rollout is at 77% to the goal of 30% new generation coverage in Italy, reaches 7.5 million households, which we want to attain at the end of 2016. Interesting is that both – that in areas where we have ultra broadband, we are also able to increase our sales, but we have faster growth in the fiber to the street areas than in the normal areas. You can see in areas where we have fiber to the street, we have a growth in 18 months on the customer base of 36% and in local loop areas only on – with 11%. Interesting is also that 50 – over 50% of the ultra broadband lines in Italy are on the Fastweb new generation network, so a successful first half year also in Italy. Now, I would like to hand over to Mario.
Mario Rossi: Thank you. Good morning from my side and a few words and explanations on the financials. On Page 20, you will see on the right hand side the impact of the exceptionals in the first half, which are explained by Urs on Slide 4, I just comment on the operational development. For the top line in Switzerland – Swisscom Switzerland increased by CHF57 million, it’s mainly because of the increase in bundle revenue of CHF168 million, which overcompensated the decrease in single play revenue. However, the increase of the bundle revenue was slightly lower in Q2 compared to Q1. In Q2, we saw the impact of the roaming price decrease and the interruption of the infinity plus price plans. These two effects took away about CHF45 million in revenue, volume increase in roaming especially in data roaming partly compensates the price decreases. Overall, roaming revenue in the first half went down by CHF30 million. Few words on Fastweb. Fastweb increased revenue in local currency by 6.8% and all segments have increased their revenue that means residential, corporate and wholesale. The increase in revenue is lower in Q2 compared to Q1 that’s because we have very strong Q1 in the wholesale business in Italy. On the next slide, you see the breakdown by segment. Here, it’s obvious we have a very strong performance of our residential segment in Switzerland. The residential segment increased revenues by CHF70 million or 2.8%. Also, here we have a lower increase of revenues in Q2 because of the reduction of the roaming tariffs. On the enterprise customers, without the acquisition of Veltigroup, we see reluctance of our corporate customers to pursue IP projects, especially in Q2. This led to lower revenues. However, we are quite happy to see all the rent rate in this segment, all the rent rates stands at the end of June 20% above the prior year, which is very strong performance considering the competitive environment in Switzerland. Wholesale increased its revenue due to higher inbound roaming revenue. And I think Fastweb numbers we discussed before and also Urs gave you all the details. On EBITDA breakdown, again, the exceptionals were explained by Urs, so I would like to go directly to Page 23, where we see the breakdown by segments. As I explained, we had very strong performance in the residential segment in Switzerland. The CHF70 million revenue increase led to an EBITDA growth of CHF46 million in the first half. We have two cost items, which increased in 2015 that’s customer support and marketing expenses. And in the small and medium segment, we see a decline of CHF50 million on EBITDA. Quite stable revenues in this segment, but remember, we have very high market trails and very high margins, but we have higher costs. These were related to higher customer pension expenses and project costs. These project costs are mainly for changes in our product portfolio, which we need for the introduction of the all IP. In the enterprise customers below straight, medium on EBITDA that’s a change in revenue mix and as I explained some postponement and lower revenues from the project business. Wholesale, as I explained, we have higher inbound roaming revenues, that led to also for higher EBITDA. Fastweb, we see an EBITDA increase of 10.2% in local currency. That’s an EBITDA of CHF260 million. Few words on the items below the EBITDA. Depreciation, amortization went up in Switzerland by CHF51 million because of the higher CapEx level during the last few quarters. Fastweb is lower depreciation because of the low exchange rates in local currency, as depreciation increases by EUR6 million. Net interest expense of CHF96 million, we clearly benefit from the very low interest environment. The average cost of cap stands at 2.04%, 75% of our debt is fixed and 25% is low fixed. So, we are well protected against the potential interest increase. Maybe explanations on the other financial results which is a net figure that contains the following elements we had in the first half, CHF34 million ForEx losses, of which CHF27 million booked in Q1. We have a cumulative number of non-cash fair value adjustments of CHF9 million, of which booked CHF25 million in Q1 minus. Then we have in the second quarter a gain on sale of subsidiaries of CHF90 million, all of that booked in Q2. On Page 25, our CapEx, a few words on the CapEx in Switzerland. The CapEx went up by CHF72 million that gives the CapEx the sale ratio of around 18%. We had CHF50 million higher CapEx due to the fiber to the home and fiber to the street rollout, but for the mid-year, slightly over CHF200 million invested in fiber. And also in the of fixed line we see higher CapEx of about CHF20 million mainly because of capacity CapEx, mobile CapEx more or less stable compared to prior year. In Fastweb, in local currencies, we have CHF5 million lower CapEx than in prior year and Urs explained to you that we are well underway is the second phase of our FTTS rollout. On free cash flow, free cash flow spends CHF85 million below prior year that comes mainly from the free cash flow proxy EBITDA minus CapEx, which is CHF74 million below prior year and small changes in then net working capital, which leads me to the outlook 2015. From an operational point of view, the guidance is unchanged. We just changed the average exchange rate euro versus Swiss francs. The strong Swiss franc that leads to a revenue guidance to above CHF11.5 billion, EBITDA, slightly above CHF4.2 billion and CapEx is expected to land at about CHF2.3 billion. With that, I conclude the explanation on the financials and hand over back to the operator.
Operator: Thank you. [Operator Instructions] The first question comes from Vikram Karnany at UBS. Please go ahead.
Vikram Karnany: Yes. Good morning. I had a few questions, first thing on the development in the enterprise segment, so the ARPUs over here continued to – still remain under pressure was you are seeing volume growth continuing, so given your significantly higher market share clearly you are carrying big re-pricing or strategic competition, so I want to understand your strategy, are you willing to change your approach, focusing on value rather than volume growth and especially are you seeing any sort of impact or do you expect as a result of the Swiss franc moves in the SME and corporate segment in particular. The second question was on Slide 13, you gave the municipalities with fiber coverage are showing a higher demand, so what is the overlap that you have with municipalities of 1.6 million fiber homes and were the municipalities kind of aggressive at promotions driving that fiber update. And the final question, if you could give us the usual update on development in the mobile market, we have been seeing the solid rebranding, so have you seen any changes in particular given infinity momentum continues to remain strong? Thanks.
Urs Schaeppi: Good. Maybe on that enterprise business the ARPU development, what we see is actually two dynamics. The one is certainly the price pressure on the roaming side, the erosion on the roaming side and also in the corporate segment an impact on – a slight impact on the ARPU. From price competition in the corporate market, let’s say the ambition of Sunrise is very, very focused. So we don’t see really a broad let’s say aggressive price moves from Sunrise. We see it very specific on specific customers. And we are very successful in keeping our market share. And if you look to the whole balance between win backs and losses in the enterprise segment, we are positive. So we are successful in the enterprise business and we will defend our market share in the corporate business. The second point is on fiber, we are successful in rolling out fiber. We are also successful in getting customers on our fiber networks. Up to now, we don’t see too much dynamics from, let’s say, the municipality is on the fiber. And the last question Salt, what’s the impact on the launch of Salt, we have a strong momentum, still strong momentum on infinity, we have low churn figures on – low churn figures in the mobile business. If I look to our net things, we are very happy with them sold. We have – we don’t actually feel too much the competition from Salt today, but it will be certainly, I think the Salt will be certainly be a dynamic company. They introduced now new prepaid tariff. So, we will have a competitive wireline market in Switzerland. Did they come up with, did you mean with the overlap on Slide 13?
Vikram Karnany: Yes. I just wanted to understand, because you flag that also 1.6 million fiber homes wherever you have an overlap of municipalities. So, your take up rate is quite strong over there. So, I just wanted to know of that 1.6 million homes, specifically with the utilities, I mean what is the overlapping part?
Mario Rossi: On this, so Urs explained that there is 2.5 million households footprint with 50-megabit plus, up – 9 out of this 1.6 million on FTTH, or FTTS remain 900,000 households, so close to the local exchange that they can get 50 million on fiber to the curve. And the slide – on the bottom of the slide on Page 13 is the demand for broadband connection in fiber to the street cities and there is no overlap in these municipalities. The only competition we have there is cable operators, but only in the 975,000 FTTH that is allowed to cities. There we have the competition with utilities, which Urs explained. There is logic behind that.
Vikram Karnany: Okay, thank you. Yes, that’s clear now. Thank you.
Mario Rossi: Okay, thank you.
Operator: The next question comes from Guy Peddy at Macquarie.
Guy Peddy: Good morning, Urs. Just a small question on your CapEx, towards the end of your presentation, you showed how your CapEx spend is changing, less on IT, more on sort of upgrading to copper, etcetera. Can you talk us through how you expect that to continue to change in the coming halves and years please?
Urs Schaeppi: Look, we have low CapEx in Switzerland on the IT systems and that’s mainly because we buildup all the capabilities for all IT in our IT systems that’s now done. Now, we have CapEx for the all IP transformation. I would say looking forward, the mix of different CapEx category remains more or less unchanged as we have it now in the first half 2015.
Guy Peddy: Okay. And just a quick follow-up, when you talk about the IP, all IP investment, were you talking specifically in Italy or as you are talking Switzerland with regard to that?
Urs Schaeppi: Switzerland, that’s on Slide 25. Below, you have the CapEx fleet on Switzerland and we were referring to the 20% IT. That’s mainly because of the reduction in all IP.
Guy Peddy: Okay, thank you.
Operator: The next question comes from Jakob Bluestone at Credit Suisse.
Jakob Bluestone: Hi, good morning. I have got two questions please. And first if you could maybe just make a comment on the impacts you are seeing from the economy. I see that there has been a pickup in bankruptcies and weakening in consumer optimism or consumer sentiment in Switzerland. And so may be if you can just make any comment on whether you have seen or expecting to see any impact from that? And then just secondly, just on Q3 specifically, given roaming historically have tended to be recently concentrated over the summer, is it reasonable to assume that perhaps on a slightly tougher comp in Q3 than what we have seen in Q2 and what we should probably see in Q4 as well? Thank you.
Urs Schaeppi: Good, on the first question on the economic development in Switzerland, so what we actually see is that we – that customers are more prudent to make investments in IT infrastructure. On the other side, still now we don’t see really a big problem in the industry in Switzerland. It’s quite astonishing that the companies are able to digest this currency impact. So we don’t see – we don’t actually see a big impact in the corporate market up to now with one exception that the investments in IT systems. And some price pressure in the IT area. And on the roaming, Q3 is also very strong roaming and also October usually. We lost net CHF30 million in the first half and we expect a reduction on roaming revenue of slightly below CHF100 million for the full year. Maybe few are incoming, these are in our facts and figures. In the first half, we made slightly below CHF80 million incoming revenues and we expect for the full year slightly below CHF150 million revenues from the incoming roaming.
Jakob Bluestone: That’s very helpful. Thank you.
Operator: [Operator Instructions] The next question is coming from Georgios Ierodiaconou at Citi.
Georgios Ierodiaconou: Good morning, everyone. I have a couple of questions. The first one is kind of overlap on roaming, you shared with us some data and usage patterns, particularly the changes you have seen over the summer in July, is it possible to give us an indication of whether there has been a difference in patterns between consumer and business and how that may have evolved during the migration into these tariffs? And my second question is around Italy, a couple of weeks ago we had an announcement over potential merger in the mobile market and I just wanted to hear your views whether capacity MVNO or any kind of remedy that will come out of that would be of interest to you and whether has potential to become more of an integrated operator, do you think such a solution is enough for ownership of a network is required for an integrated operator to be fully operational? Thank you.
Urs Schaeppi: First on the roaming topic and what we see is actually a big stimulating effect in the residential business. So with lower prices, the residential customers they use much more their handsets abroad. And on the B2B side, the elasticity, the price elasticity is much smaller and so we don’t see really a big price elasticity in the corporate market. In the SME market, I would say it’s between residential and corporate business. And the evolution or the migration to our infinity plus products will continue. So we have today above 500,000 customers, they will migrate long-term to – the majority will migrate long-term to infinity plus. And then some remarks to the [indiscernible] in Italy, so we see overall as it also has a chance for Fastweb. On the one side we will have three converged players. On the other side, we have a strong network, which could also be used as a wholesale network, that’s one point. And the second point, MVNO, yes we want to stay in the MVNO business. We have already today an MVNO business, but our ambition is to change it then with…
Georgios Ierodiaconou: If you don’t mind, I would like to ask a follow-up on the second point around wholesale. So, am I right in separating these, you would be willing to use our fiber to the cabinet network and wholesale product perhaps to win and give them a VDSL product readymade from you?
Urs Schaeppi: Yes, we are doing the part of our strategy doing wholesale.
Georgios Ierodiaconou: Okay. And maybe if you don’t mind one follow-up on roaming, I was just interested on the migration to infinity plus. Obviously, when had the infinity migration 2 or 3 years ago, it started as being very dilutive initially and then turn accretive after a certain point. Is that a similar dynamic here or is the dilution continuing consistently or do you expect at some point to be net accretive as some lower end customers find it attractive to be on the plus tariff?
Urs Schaeppi: My assumption is also that it will have the same dynamic. It’s always the same in the beginning. If you have the new tariffs, you have to migrate with the savings and then you will have a better migration in the later phase.
Georgios Ierodiaconou: Thank you.
Operator: The next question comes from Luis Prota at Morgan Stanley.
Luis Prota: Yes, thank you. Two questions, please. First is regarding the dynamics in the bundle segment, where we have seen some slowdown in the second quarter, which you were also mentioning in your presentation. We have seen revenue growth 20% in the first quarter. It was, again, up 16% in the second quarter, but clearly slowing down sequentially. I would like to understand the dynamics. From your presentation, it looks like volumes are okay. So, I am wondering whether it’s an ARPU impact, maybe promotion driven or is there any negative year-on-year comparison for some reason? And the second question is on the sale of the Hospitality business, whether – do I expect any impact in revenues and EBITDA that you would like to disclose in the second half on the back of this one and just a confirmation that this is included in your guidance? Thank you.
Urs Schaeppi: So, on the first question, dynamic in the bundle business, there is no price topic in it. So, it’s also not promotion driven. So, what we see is that we have still a good dynamic in the TV business. And the broadband business is also growing, but a bit less than in the previous year. And on the voice side, we have this declining business in the voice area. I am convinced that we will have also a good bundling development in Q2 and Q3 and Q4. And maybe we don’t see pressure on the ARPU if you go to the backup on Slide 31, so that the most important products are double-play and triple-play, where we have overall ARPU overseas of Swisscom, including the B2B segments of CHF53 on double-play and CHF47 on triple-play per revenue generating unit. If I compare these two numbers, the full year numbers of last year, they are stable. We have on double-play, CHF54 and on triple-play, CHF47. And on your second question, the sale of Hospitality and Alphapay, we also sold Alphapay in Q2. The impact on revenue and EBITDA is immaterial and these impacts are included in our revenue and EBITDA guidance.
Luis Prota: Okay, thank you.
Operator: This question is coming from Frederic Boulan at Bank of America Merrill Lynch.
Frederic Boulan: Hi, good morning guys. Two questions from my side. So, firstly, on the Swiss business, so you are saying fixed lines still from solid IPTV and broadband growth by increasing line loss year-on-year. Is this a concern and how do you plan to address that from a cost perspective considering the fixed cost nature of the business. And overall you had a phase where despite strong FTTH pickup and infinity migration growth is very close to zero, so what the strategy from here, do you think you can sustain this or improve that with increased RGU per sub on the contrary, you have to start to think about managing the little growth phase by tackling costs more aggressively. And secondly from the Fastweb perspective, we have seen an interesting development in early August, where Telecom Italia has scheduled to deal with Mediaset Premium, which is exclusive, is this an issue for Fastweb considering your premium positioning in the market and how can you react to TI being slightly more aggressive in the content side? Thank you.
Urs Schaeppi: For the first question, our strategy in the wireline business what we showed in our presentation is that we were able to increase the revenue generating units in Q2. And our strategy is the same. We extend our ultra broadband footprint. We want to have as a TV product and in combination ultra broadband footprint, excellent TV product and the bundle, we are convinced that we can have growth, slight growth on the revenue generating unit in the wireline business. On the other side, the erosion of voice telephone in the fixed market will continue, that’s the challenge for our business. And that means cost management is always a topic, but that doesn’t mean that we don’t have a big program before us, but it’s always its normal business. And to Fastweb, to the deal, TI with Mediaset we have a bundle, we are strong and very successful bundle with Sky on TV and content and it works quite well. And up to now, I don’t see actually a big impact from this TI partnership with Mediaset or even also with Sky they have also reselling agreement with Sky. But long-term, I would say bundling – to have a bundling business in the Italian market with provider like Sky or Mediaset is getting more important.
Frederic Boulan: Okay. Thank you very much.
Operator: The next question comes from Jacques de Greling at Natixis.
Jacques de Greling: Thank you. I have two questions. The first one, could you give us the tax rate on the recorded capital gains in Q2. And second question, should we expect some seasonality as in 2014 for depreciation? Thank you.
Urs Schaeppi: Sorry, what – could you repeat the second question please again?
Jacques de Greling: Should we expect the same seasonality on the depreciation as in 2014? Thank you.
Urs Schaeppi: Okay.
Mario Rossi: Seasonality on depreciation, it should be more or less the same, maybe slightly higher but that’s immaterial on – and the tax rate on the realized capital gains must be close to zero. It’s close to zero, a few million on the tax regime. We have the holding privilege and that must be close to zero, but we can’t deliver you the correct number, but it’s below CHF5 million.
Jacques de Greling: Thank you.
Operator: And now we have a question from Usman Ghazi at Berenberg Bank. Usman please go ahead.
Usman Ghazi: Good morning gentlemen. Thank you for taking my question. I have three questions, please. The first question was just on the RGU net adds development, I am just looking at Slide 29 of the presentation pack and we can see that while you are still – the RGU net adds are still positive there has been a big slowdown in the rate of net additions from last year. Now, given that wireline voice line losses could potentially accelerate, we are just wondering what your outlook is for that metric, I mean do you expect RGU net adds to be still in positive territory, a few quarters down the line or do you see continued reduction in the rate of intake on that front? The second question was on Quickline I saw that there were some best articles on the CEO of Quickline talking about nationwide broadband rollout. It seems quite fantastical, but I was just wondering if what your view is on that ambition? The third question was just on this recent ruling and the fine related to exclusivity that Swisscom maintains on some sports content. Thank you very much.
Urs Schaeppi: Good. Maybe I will take that sports rights and Quickline question and Mario will take the revenue generating unit question. To the sports rights, so we don’t have a decision up to now. The antitrust body only mentions how they see the case today and we have now the chance to bring in our arguments. And it’s clear we have the total review, because we think that they may – that the market definition is much, much – it’s not right from – it’s much too narrow. And so we think that we have a good argument for this sports rights topic. And in addition, it will be a long process. It will be a long process. We will not see impacts in the next month and then we will have court decisions. This will go for several – let’s say, for more than one year.
Usman Ghazi: Right, okay.
Urs Schaeppi: Then the other topic is Quickline. Quickline is a good operator. It is a good TV provider. They were quite successful in local business and now they expanded to Swiss footprint. I am convinced that we are able to be strong in the markets with our products, with our expansion of the ultra-broadband footprint and our, let’s say, TV products. So, I am quite optimistic on the TV business even if Quickline is going to whole Switzerland.
Mario Rossi: And in terms of revenue generating units, yes, you are right we are entering the sales of kind of the separation of the overall markets. That’s clear. But if you look at our plans, we still see growth in revenue generating units. On the landline, we see this year line loss of approximately 5%. We think that will go on, which is 5% rate. But on the other side, if you look at Slide 11, you see strong – ongoing strong growth on IPTV over the last few quarters, also the first two quarters were strong. That will go on. We have plans to further grow TV and broadband that increase is at relatively low number. But as we showed this investment in FTTS, we think we will be able to further grow our broadband customer base. So, net of all, we will see the few quarters with positive ARPUs develop.
Usman Ghazi: Great, thank you very much.
Operator: This was the last question.